Operator: Welcome and thank you for standing by. All participants are in listen-only mode throughout the duration of the call. Today's call is being recorded. If you have any objections, you may disconnect at this point. Now, I will turn the meeting over to your host, Mr. Denis McGlynn. Sir, you may now begin.
Denis McGlynn: Thank you. Good morning, everyone. Mike Tatoian, our Executive Vice President; Tim Horne, our CFO; and Klaus Belohoubek, our General Counsel are all here with me this morning. And after Tim reads our forward-looking statements disclaimer, we’ll get underway with our review of the quarter.
Tim Horne: In order to help you understand the company and its results, we may make certain forward-looking statements. It is possible that company's actual results might differ from any predictions we make today. Additional information regarding factors that could cause such differences, appear in the company's SEC filings.
Denis McGlynn: Thanks, Tim. Well, with the exception of a grandstand removal non-cash impairment charge, during the quarter we continued our year long trend of reporting earnings per share equal to those for the same period last year. Repeating the experience from our Sprint NASCAR weekend in June, we have three great days of weather during our fall NASCAR weekend. The perfect weather combined with continuing growth in broadcast rights fees and lower interest payments offset a decline in attendance revenue and somewhat lower corporate spending. NASCAR’s new Sprint Cup Championship Chase format added considerable interest and excitement to our fall race weekend and we are happy to see continued solid youth ticket sales and strong ticket sales to first time Dover customers. These are two special areas of focus for us as we continue our efforts to replenish our customer base. During our last NASCAR Race weekend, NASCAR announced new rules for next year. They are designed to lower team operating costs and further improve the on track racing product. NASCAR banned all individual team testing at tracks next year, but will allow for testing to be conducted during selected good year official tire test. NASCAR is also tempting to improve the racing on mid size tracks like [RC] (ph) at Dover by reducing horsepower and down force. Fewer tire failures and more passing are expected to be the result and these are two things we’d really like to see here at Dover. NASCAR is also providing teams an option to allow their drivers to make suspension adjustments from inside the cockpit. Currently, only a pick crewmember can make adjustments from outside the corridor and pit stops, and this change could have a significant impact on the competitiveness of races. These are pretty dramatic changes for next year and I think, they show NASCAR’s continuing determination to improve the on track product and create more excitement for fans. NASCAR also recently announced the 10-year deal for Comcast XFINITY brand to take over next year a series sponsor for what is now the Nationwide Series. XFINITY is Comcast residential service brand and there is a growing relationship between Comcast and NASCAR, and so far as Comcast owned NBC will be televising the second half of the NASCAR season starting next year. XFINITY is also planning to bring substantial technological innovations for the table, which will enhance the viewers experience both at home and more importantly, over mobile devices at the track. Nothing has been revealed yet, but the goal is to allow you to turn your TV, your cell phone into a computer with search engines, apps, Twitter trends, on-demand content of drivers and races, and incorporating live scanner traffic drivers and crews. These types of innovations will help bring the NASCAR experience to the next level and hopefully, help accelerate our progress with youth and first time efforts. We have a couple of major capital projects currently in progress, first, is the replacement of the brief fans surrounding the racing surface. This is a $2.9 million project, which will give us a state-of-the-art fencing system for the safety of our fans. And then hence overall aesthetic appearance will be the secondary benefits of this project and completion is expected by year end. As allude to earlier and as you may have read recently, we’re following a general trend across Motorsports and the entire sports industry for that matter and are taking steps to reduce our grandstand seating capacity to rightsize our facility to match current demand trends. We previously reduced our total capacity from 135,000 to 113,000 seats by widening existing seats. Our current efforts will physically remove seats in turns two and three, which have been low demand sections recently. Approximately 17,000 seats are being removed and the materials recycled, these were being our capacity for spring of 2015 to approximately 96,000. We are exploring opportunities to refurbish facilities such as mezzanine areas left behind following the removal of seats prior to any further structure removal. One final item before Tim takes over. Regarding the pending sale of natural superspeedway, the buyer requested a second 30-day extension, which we granted and returned for $200,000 of the $1.5 million deposit being released to us from escrow. The buyer needed additional time to work out survey and road location issues. And we expect a fourth quarter closing for this transaction. With that, I’ll turn it over to the Tim for review of the third quarter financials. Tim?